Operator: Good day, everyone and welcome to IDT Corporation's Second Quarter Fiscal Year 2019 Earnings Call. In today's presentation, IDT's management team will discuss IDT's financial and operational results for the three-month period, ended January 31st, 2019. During prepared remarks by IDT's Chief Executive Officer, Shmuel Jonas, all participants will be in a listen-only mode. [Operator Instructions] After the prepared remarks, Marcelo Fischer, IDT's Chief Financial Officer will join Mr. Jonas for a Q&A. [Operator Instructions] Any forward-looking statements made during the conference call, either in the prepared remarks or during the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that could cause actual results to differ materially from those that the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation to either update any forward-looking statements that they may have made, or may make, or to update the factors that cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A that will follow, IDT's management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income, and non-GAAP EPS. A schedule provided in the earnings release reconciles adjusted EBITDA, non-GAAP net income, and non-GAAP EPS to the nearest corresponding GAAP measures. Please note that the IDT earnings release is available on the Investor Relations' page of the IDT Corporation’s website at www.idt.net. The earnings release has also been filled out -- has also been filed with Form 8-K with the SEC. And I would now like to turn the conference over to Mr. Jonas. Please go ahead with your presentation sir.
Shmuel Jonas: Thank you, Operator. Welcome to IDT's second quarter fiscal year 2019 earnings call covering results for the three-month period ended January 31st, 2019. I'm joined today on the call by Marcelo Fischer, IDT's CFO. In my remarks, I will focus on key operational developments, strategy, and outlook. For a more detailed report on our financial results, please see our earnings release filed earlier today in our Form 10-Q which we will file with the SEC next week. IDT's technology-driven growth initiatives performed well in the second quarter. net2phone's unified communications offering, National Retail Solutions PoS network, and our international money transfer businesses scaled nicely. Our investments in these businesses were financed by solid margin contributions from our core offerings, and our consolidated bottom-line results improved relative to the prior quarter. Revenue generated by net2phone's unified communications-as-a-service offering increased by 86% compared to the year ago quarter and achieved an annual run rate of over $24 million. We performed ahead of plan in our South American markets, most notably in Brazil. Operationally, our priority continues to be the incremental deployment of net2phone's proprietary technology platform. The platform brings exciting unified communication features to our customers and going forward, focusing control of our development road map. We are hard at work developing new features, integrations, and other capabilities to drive future growth. Also within net2phone, we are focused on developing a robust direct-to-consumer channel in all our markets worldwide. Versature, the Canadian UCaaS provider we acquired in the first quarter, operates very successfully as a B2C company. We are leveraging their capabilities and expertise to drive our efforts globally. National Retail Solutions revenue increased 56% in the second quarter to an annual run rate of over $6 million and its point-of-sale network now comprises over 6,600 active terminals. We have only begun to tap the potential of this business and are building out and optimizing the offerings that will more fully monetize the network's capabilities. Our international money transfer business surpassed $20 million in annualized run rate revenues this quarter. Direct-to-consumer sales increased 145% year-over-year as we expanded our international disbursement network, enhanced our transaction fulfillment technology, and intensified marketing. On a consolidated basis, we increased income from operations and adjusted EBITDA compared to both the year ago quarter and the fourth quarter of this year. Revenue generated by core offerings decreased by $61.1 million predominantly due to lower sales from our carrier services business, but the core businesses' margin contribution, revenue less the direct cost of revenue, decreased by just $4.4 million. The impact of this decrease was mitigated by reductions in SG&A expense, much made from our core business operations, and by increased margin contribution from our growth initiatives. Net cash provided by operating activities during the second quarter was $29.8 million compared to $21.9 million in the year-ago quarter. That concludes my comments in the quarter's results. Now, Marcel and I will be happy to take your questions.
Operator:
Operator: Okay and there look to be no questioner. So, this will conclude our question-and-answer session and today's conference call. Just want to thank you all for attending today's presentation and you may now disconnect your lines.